Operator: Good day, and welcome to the ENDRA Life Sciences’ Third Quarter 2018 Conference Call and Webcast. Today’s conference call is being recorded. At this time, I would like to turn the conference over to Chris Tyson, Managing Director at MZ North America, ENDRA Life Sciences’ Investor Relations firm. Sir, please go ahead.
Chris Tyson: Good afternoon. I’d like to thank you all for taking time to join us for ENDRA Life Sciences’ third quarter 2018 conference call. Your hosts today are Mr. Francois Michelon, Chief Executive Officer; as well as Mr. David Wells, the Company’s Chief Financial Officer; and Mr. Michael Thornton, the Company’s Chief Technology Officer. Francois and Michael will provide a business update, which will cover product updates and operational milestones, while David will discuss the financial results. A press release detailing these results crossed the wires today and is available on the Company’s website endrainc.com. Following management’s prepared comments, we will open the floor to questions for those of you who are dialing in for today’s call. Before we begin the formal presentation, please take note of the Safe Harbor paragraph that appears at the end of the press release covering the Company’s financial results. And then any forward-looking statements that we make only apply as of today’s date and are subject to inherent risks and uncertainties including those described in the Company’s SEC filings and should not be unduly relied upon. Except as otherwise required by Federal Securities Laws, the Company disclaims any obligation or undertaking to publicly release any updates or revisions to any forward-looking statements. We also would refer you to the Company’s website for a more supporting industry information. At this time, I’d like to turn the call over to Francois Michelon. Francois, the floor is yours.
Francois Michelon: Thank you, Chris. And welcome everyone to ENDRA Life Sciences’ third quarter 2018 financial results conference call. The third quarter of 2018 demonstrated progress on the development of our first Thermo-Acoustic Enhanced Ultrasound product, growth of our intellectual property portfolio and positive progress on our Health Canada human study application. In October, we were thrilled to finally receive health Canada’s authorization to kickoff our human study. Comparing our TAEUS technology to an MRI baseline of liver fat in 25 volunteers. We've recruited study volunteers. The study is underway. The data collection is going well. And we plan to provide an update on the study no later than December of this year. Mike Thornton, ENDRA's CTO will provide more details in a few minutes. I want to take a moment to remind investors of ENDRA's business goals and how they apply to this human study. ENDRA's overarching goal is to broaden access to better healthcare through the enhancement of safe cost effective and broadly available ultrasound. Our first step towards this goal is the development of a practical and rigorous diagnostic tool for the epidemic of non-alcoholic fatty liver disease or NAFLD, which affects over 1 billion people globally. NAFLD is a big problem, but no practical tools for diagnosis and surveillance. This is a metabolic disorder in which fat accumulates in the liver, driven by lifestyle and obesity, diabetes, hepatitis, and certain drugs. NAFLD is often asymptomatic but can progress to inflammation, also known as NASH, scarring also known as fibrosis and eventually cell death or cirrhosis and cancer. There is no accepted blood test for NAFLD, currently, magnetic resonance imaging known as MRI and surgical liver biopsy are the only accepted procedures for accurate assessment of fat depositions in the liver at low levels. When NAFLD can be reversed and before it progresses to NASH and fibrosis. I'm sometimes asked can't doctors already diagnose NAFLD on traditional ultrasound today? Well, the answer is yes and no. Traditional ultrasound can qualitatively visualize high levels of liver fat above 25% fat, which is really advanced NAFLD. The traditional ultrasound alone cannot quantify how much fat is in the liver, nor reliably detect fat at lower levels below 25%. It's basically like saying we know you have high blood pressure, Mr. Smith, but we don't know the actual diastolic and systolic numbers and when you come back in six months, we likely won't be able to tell you if you're getting better or worse. So, ultrasound alone is not good enough for fatty liver diagnosis. On the other hand, MRI and surgical liver biopsy are very accurate for NAFLD diagnosis, but unfortunately they're clearly impractical due to limited global access economics, complexity of the procedures and safety concerns. To remind our listeners, MRIs cost around $2 million to acquire and it weighs several tons and a liver scan takes about 20 minutes. They're only about 30,000 MRI systems in the world today compared to over a million ultrasound and about half of the MRIs are concentrated in the U.S. and Japan. Said another way most people in the world don't have easy access to MRI. Primary care clinics don't typically have an MRI and you can't wheel an MRI into an exam room or close to a patient bedside. Additionally, the detailed images generated by MRI are often derived from intravenous contrast enhancements, which have come under scrutiny in recent years for safety concerns. So, it's not a free ride. The other NAFLD diagnostic tool, surgical biopsy is relatively inexpensive, but it involves inserting a large gauge needle between a patient's ribs taking a core sample of liver tissue. As you can imagine, it's bloody painful and has the risk of surgical complications. You also have to send the tissue sample to the pathologist for analysis, which takes time, so for these reasons, MRI and liver biopsies are rarely performed for standalone NAFLD diagnoses, let alone periodic follow-up to monitor the disease. Bottom line. The world needs a safe, easy to use, cost effective and rigorous technology to diagnose and monitor NAFLD. Some of you may have heard me say that ENDRA aspires to become like a blood pressure cuff, but for liver disease, and that vision holds true. We don't have to be as powerful nor as accurate as an MRI, the Ferrari of the imaging world. We just need something that safely and easily quantifies fat at low enough levels to be clinically useful. Clinicians and scenographers today perform an estimated $70, million abdominal and liver ultrasound scans annually. Checking for things like cysts, lesions, gallstones, fluid retention, organ enlargement. Wouldn't it be great to build on this existing base for TAEUS technology and clinical practice by enhancing ultrasound with a new ability to accurately diagnose the silent epidemic of NAFLD? That's ENDRA's goal with this first clinical application of TAEUS, I underscore first because I want to remind everyone that TAEUS is a platform, with multiple potential clinical applications beyond the liver, including for example, showing tissue temperature change in real-time on everyday ultrasound to guide the millions of energy based surgical procedures performed worldwide for pain management, cancer and cardiology. But we think there's a lot of potential there. Turning now to pre-commercial activities, as many of you have been aware, we've been ramping up activities to build market awareness for ENDRA's technology as well as collect clinical feedback and build relationships with early adopters and radiology and hepatology. Since the meeting of The European Association for the Study of Liver, also known as EASL in April we've been attending key global conferences in the imaging and liver spaces. In September, we had a booth at the NAFLD summit in Geneva, and ENDRA was one of only three companies along with Gilead sciences to be called out in a post-conference highlight distribute it to 4,000 EASL members. Good visibility for our little company. You can find that report on our Investor Homepage. We've also launched educational materials including two very well received videos on liver disease and our TAEUS technology. And we've been ramping up our social media presence, building clinical investor audiences on Twitter and LinkedIn. Our what is TAEUS video was viewed over 5,000 times on Twitter within 48 hours of release, the video is up to nearly 8,000 views as of this conference call. Our shareholders are engaging with us at rates that outperform typical social media averages. Many of the Tweets we do a yield over 10,000 views and experience between 5% and 10% engagement. So, looking ahead in the month of November, we'll have ENDRA's booth at three key conferences, the AASLD Liver Meeting in San Francisco later this week. I'll be in the booth November 10 through 12. So, please stop by if you're attending. The Interdisciplinary Congress Ultrasound in Basel, Switzerland, November 14 through the 16 and the RSNA Annual Meeting in Chicago after Thanksgiving. Combined these meetings attract over 50,000 visitors in the field of radiology, gastroenterology and hepatology. So, they're a great opportunity for ENDRA to gain visibility, build our rolodex and learn. What have we learned so far? Our discussions with clinicians individually and at these conferences, reinforce our understanding that radiologists and hepatologist want tools to diagnose and treat the full spectrum of liver disease, starting with NAFLD, where ENDRA is targeting and progressing to inflammation with NASH and scarring as fibrosis. On the liver disease diagnostic front, there are tools in the fibrosis space including ultrasound elastography and there are a number of blood tests and development that identify inflammatory markers associated with NASH, but to our knowledge outside of the impractical MRI and surgical biopsy, I mentioned earlier there are no rigorous and cost effective tools to assess and monitor the earlier stage NASLD. We see this NAFLD as largely a white space opportunity for ENDRA and our partner GE Healthcare. On the liver disease therapeutic front, there's a rich pipeline of Phase 2 and 3 drugs from companies like Pfizer, Gilead, Viking, Madrigal, TaiwanJ and others. It is a very exciting space, and we believe ENDRA will be well positioned to both drive efficiencies in the expensive and time consuming clinical studies of these therapies, which often depend on MRI. As well as act for a catalyst to help diagnose NAFLD and monitor the efficacy of these therapies once they become commercially available. Looking internally now and in parallel to these activities I've described in product development, the human study in pre-commercial activities. We've been implementing a formal quality management system that encompasses our key business processes, from hiring people to product development and design control and manufacturing processes. So far, we formally defined, implemented and trained our staff on 40 business critical processes. One might ask is this important? The answer is we need these systems in place and audited to achieve our ISO 1345 certification and to develop the product and technical documentation correctly for our CE application. These systems allow us to demonstrate the quality and value that we're putting into our products in a documented way. At this time, I'd like to turn the call over to our Chief Technology Officer, Michael Thornton will provide additional updates on the human study, our intellectual property, and a product development of our TAEUS fatty liver product. Michael?
Michael Thornton: Thanks Francois. As Francois mentioned, we received Health Canada’s Investigational Testing Authorization, also known as an ITA to conduct human studies with ENDRA's TAEUS clinical system targeted NAFLD. The ITA application was reviewed under a Class II designation and the study is being conducted in collaboration with the Imaging Laboratories at Robarts Research in London, Canada. The four key objectives of the first human study with our fatty liver imaging TAEUS technology are first determined a number of anatomical sites at which successful thermo-acoustic data measurements can be made from serial acquisitions. Second, obtain quantitative fat MRI sequences for each subject in this study to establish a true measure of liver fat content and to determine the correlation between fat measures obtained by the TAEUS device and those obtained from quantitative MRI. Third, insight into the sensitivity of thermo-acoustic liver fat assessment with the aim of detecting fat content and liver at 15% or less by volume. Fourth and finally, obtain critical insight into workflow and ergonomics for our fatty liver TAEUS device that will inform our product development and provide human factors data for our CE regulatory submission. This study is progressing well and to-date we've completed scanning for eight volunteer study subjects. We're on target to complete data acquisition in November. Once we've completed the data collection, will be able to test several of our methodologies for fat quantification. This process will involve adjustment of algorithm parameters, review of raw data and statistical analysis. In some cases, we may choose to rescan some of those study participants if we find the data collected was obstructed or rejected due to motion artifacts, this is a normal part of testing new technology. We're excited about this first of several human studies and will provide a study update in December. Now let's talk a little bit about the other elements of the human study, we chose to collaborate with scientists at the Robarts for our first study for two important reasons. First, it's a world-class facility, specialized in imaging studies and equipped with expert staff and several diagnostic imaging modalities available for human research studies. As a result, we haven't encountered constraints on MRI scheduling that we might face at other centers that shared time with routine patient imaging. Second, the economics made a lot of sense for ENDRA, as we were able to conduct human studies at a very reasonable cost when compared with other similar clinical sites. We always try to run ENDRA weaning in smart. As we mentioned on last quarter's call, much of the work we perform to obtain Health Canada’s authorization for this study, including technology safety testing and documentation, and the human factors data we'll collect from the study itself, will directly support our CE and FDA 510(k) applications next year. So a lot of the work we've done will be leveraged for our product development and regulatory certification efforts. With the goals of building credibility with the clinical community and improving our product performance, we've started discussions with several additional research centers in the U.S. to conduct additional studies in 2019 or announce those when they are formalized. We will have a very busy end to 2018 and look forward to an exciting 2019 where we shift from product development to clinical studies and growing mind share in the clinical community for pioneering work in thermo-acoustic imaging. On the IP front, I remind you that we have two registered patent agents on ENDRA staff and maintain a strong focus on protecting key enabling methodologies and technical innovations related to our TAEUS platform. And also granted a total of six patents in 2018, three of which were U.S. patents for noninvasive assessment to support our TAEUS clinical product targeting nonalcoholic fatty liver disease, this brings our total intellectual property total as of today to 40 issued patents, filed patent applications to prepare disclosures up from 33 at the end of 2017. Two of the newly issued patents cover applications for correcting fat-induced aberrations and imaging biological structures. One of our patents protects a method and application for magnetic resonance imaging safety. These patents support ENDRA’s proprietary approach to assessing fat content in tissue and support the company's commercialization of a clinical application for noninvasive assessment of liver fat and other fat related applications. Our new patents, along with several filed applications directly support our plans to commercialize it, transformative clinical application in the first half of 2019 focused on nonalcoholic fatty liver disease. Moving onto the product development front since we last spoke, we continue to work with our engineering, manufacturing and regulatory service providers, which we believe is the most capital efficient model for ENDRA, while still providing the shortest time to market. We're making good progress towards implementing our procedures and quality management system as we work toward achieving ISO 1345 certification which is required for the CE technical file submission of our first product. We're working towards the first half of 2019 targeted CE clearance falls by a planned FDA submission for the U.S. market. I’ll now turn over the call to our Chief Financial Officer, David Wells for his financial summary. David?
David Wells: Thank you, Michael. I will now provide a summary of our reported third quarter 2018 financial results. We did not generate any revenue for the three months ended September 30, 2018, as compared to $287,000 of revenue for the comparable period in 2017, when we earned revenue from the sale of a Nexus 128 system. Our operating expenses increased to $2.4 million in the third quarter of 2018, up from $1.1 million for the same period in 2017. The increase in operating expenses was due primarily to increased research and development expenses related to the development of our TAEUS product, and increased general and administrative costs. As well during the quarter, we incurred an expense of approximately $300,000 for the impairment of inventory related to our Nexus 128 product line. Our net loss for the three months ended September 30, 2018 was $2.8 million or $0.70 per basic and diluted share as compared to a net loss of $910,000 in Q3 of 2017. Noting that approximately $1.1 million of the third quarter 2018 loss was due to non-cash compensation expenses related to stock option and warrant issuances. Our cash balance as of September 30, 2018 was approximately $640,000, as compared to approximately $2.2 million as of June 30, 2018. During the quarter, we used approximately $1.5 million in cash, which again was due mainly to continue development of the TAEUS product. Our spending remains on budget and on track with our internal projections. Subsequent to the quarter ended, we raised $3.1 million from the sale of 1,477,750 shares of common stock. The sale was completed at $2.10 per share and without the issuance of warrants to the purchasers. Although, we priced our offering on an unforeseen market downturn, we were pleased with the demand for our shares and for the subsequent appreciation in our share price and trading volume. We were also encouraged that multiple high quality institutional and retail investors participated in the transaction. As the market remains choppy and unpredictable, we are continually evaluating our capital needs in real-time to ensure adequate capital to support our clinical, regulatory and operational activities. And we'll continue to do so as we prepare for EU commercialization. As has been emphasized before and in summary, we believe the combination of our asset-light operating model and continued effective and efficient use of cash will position ENDRA to commercialize our TAEUS liver product in the European Union as scheduled. I will now turn the call back over to Francois. Francois?
Francois Michelon: Thanks David. Just briefly to summarize, as we now move towards the close of the fourth quarter of 2018, believe ENDRA’s position to deliver key milestones for ENDRA’s fatty liver application in 2018 and 2019, including our first human study completed by December, 2018 contributing safety and human factors for our CE mark application. Pre-commercialization awareness building the key industry conferences in Q4, 2018, quality management system implementation to support ISO certification and CE mark in the first half of 2019 and commercial launch of the TAEUS liver device in Europe in the first half of 2019. As evidenced by the recent positive developments in the liver disease and therapy landscape and based upon our conversations at industry trade shows. We continue to believe a diagnostic tool at the earliest stage of liver disease, NAFLD. Strategically positions ENDRA for substantial adoption, once human data is achieved and CE mark is granted. We look forward to speaking with investors and analysts at our upcoming investor and industry events in the months ahead. At this time, I'd like to open up the call to questions. Operator?
Operator: Thank you. At this time, we’ll now be conducting a question-and-answer session. [Operator Instructions] And thank you. Our first question comes from line of Brooks O’Neil with Lake Street Capital Markets. Please proceed.
Francois Michelon: Hi Brooks.
Brooks O’Neil: Good afternoon, how are you, Francois?
Francois Michelon: Great to have you. Thanks for joining.
Brooks O’Neil: Sure. So I was hoping you talked quite a bit about, the steps you're taking with the CE mark effort and getting regulatory approval for the European Union. Could you just help us to understand your assessment of the size and the attractiveness of the European market as well as the steps you need to take to get approval in the United States and sort of how you assess the market opportunity in the U.S.?
Francois Michelon: Sure. Thanks. I'll speak first to the European market opportunity. The reason we're going to Europe, first is multifold. Number one, if you look at our investor presentation, our addressable market in terms of ultrasound units on the ground in use that we could target and sell to is actually higher than in the U.S. We have about 78,000 estimated ultrasounds in the European Union alone. Number two, the regulatory path as many of you know, for the CE mark, while rigorous is mostly a safety designation and therefore slightly easier, I would say, than the 510(k) in the U.S., which is an efficacy designation. So that's another benefit. Thirdly, the reason we're going to Europe, there is a larger share of radiologists using ultrasound in Europe than in the U.S. where very often there are highly skilled technicians and scenographers. And for a small company that wants to establish a foothold, develop evaluation sites, having most of those early adopters and users and eventually publishers. Being radiologists is we believe, highly credible compared to perhaps relatively scenographers. And so that's really our third reason for going. Mike, if you're on the phone, perhaps you could speak a little bit to sort of a CE versus 510(k) and what we're thinking about there in terms of predicates and any other thoughts you might want to share.
Michael Thornton: Yes, thanks Francois. Thanks for the question. So there are a lot of parallel requirements between CE and FDA. So for instance, we mentioned our ISO 1345 audit and certification, that's going to be required for both submission. So it’s not like we're serially doing these. There are some of the efforts in parallel. As Francois mentioned, typically, the FDA submission, is a little bit more rigorous and typically requires a more clinical data. So we'll be conducting some clinical studies in addition to the one we have underway now. And we're looking forward to putting together the FDA submission shortly after our technical file for EU submitted. So they shouldn't fall too far further in time.
Brooks O’Neil: Thank you.
David Wells: Brooks, just to be a little more specific, we've committed to getting the CE mark in the first half and submitting shortly thereafter our application to the FDA for 510(k). Our understanding is that typically a Class II designation for 510(k) type of product like ours. It takes about 178 days. So we would foresee having on average a commercially approved product in the U.S. by the end of 2019. I hope that helps answer your questions.
Brooks O’Neil: It does. That was extremely helpful. It would also help if you could clarify, I'm guessing that the work you're doing in Canada is perfectly applicable to both the CE mark application and the 510(k) submission. But could you just clarify what the requirements will be? Mike mentioned a couple more studies as well.
Francois Michelon: And Mike, please go ahead, Mike.
Michael Thornton: Sure. I was just going to say that they're depending on the way the submission is written and what the predicate devices are, that are being used for the 510(k). You may not need clinical studies for the FDA. It just helps to support the application. So it's not an absolute requirement. It's something we'd like to include, to just strengthen the application because it is a new technology.
David Wells: And Mike – and Brooks, if I might just add, I think to underscore what we said on the last call, there are some things coming from this clinical study that are going to directly contribute to the CE mark. The human factors elements in terms of workflow and use of the product are an important element that we are going to refine and that will be needed for the CE application. And certainly as Mike has mentioned, a lot of the safety testing that went into our application for the Canadian study will be largely repurposed and therefore it was a very good investment for the CE application. So we think that there are several components of the Canadian study that will contribute and can be leveraged for CE and for 510(k). I hope that's helpful.
Brooks O’Neil: Yes, that's very helpful. Thank you very much. Keep up the good work.
David Wells: Thank you so much, Brooks.
Operator: Thank you. Our next question is coming from the line of Kyle Bauser with Dougherty & Company. Please proceed.
Francois Michelon: Hi, Kyle.
Kyle Bauser: Hi everyone. How are you? Can you hear me okay?
Francois Michelon: Yes, sure can. Thanks for joining.
Kyle Bauser: Absolutely. Congratulations on extremely productive quarter here on the IP on clinical, getting going in Canada, obviously building awareness and just kind of inching closer to commercialization. But I can – maybe I'll just ask a little bit of a follow-up from Brook’s question. So sounds like you're going to do some subsequent clinical studies that may or may not contribute to the FDA submission. The current study in Canada, 25 patients, it sounds like the turnaround time is very quick. You've already got kind of done there. What should we think about for sample size for some of these subsequent clinical studies and endpoints that would help support 510(k)'s submission?
Michael Thornton: Sure. I can take that question. So the 25 I’ll just clarify they’re volunteers otherwise not indicated for any liver disease. We would like to first of all expand to patients that that's and people who are have been triaged as having liver disease and NASH. So we would like to expand to that and obviously 25 is very small sample size. Looking to add studies and as our partners in research are amenable to grow the numbers. Obviously, wouldn't we have a CE marking some of the earlier sites we'll obviously publish and contribute to the published data pool of results in comparison against established results. I’m sorry, did I miss part of your question?
Kyle Bauser: No, it sounds like, the volunteers, obviously sample size perhaps little bit larger and it sounds like maybe some of the endpoints would be pretty similar to what you're doing now. But kind of evolved and think of potentially other favorable ones that you could add to the subsequent one…
Michael Thornton: Sure. We'd like to demonstrate clear sensitivity advantage over the existing point-of-care techniques. And we feel like the comparison against MRI is critical because it is the excepted, I’ll call gold standards in the field. I know we talked about biopsy a lot. There's a lot of variation in how pathologist report results, but MRI has narrowed. So that all the vendors have applications that report fatty liver and they seem to have a widespread agreement between different systems. So that's where we're putting our focus.
Kyle Bauser: Okay.
Francois Michelon: Kyle. Yes, Francois here. If I might just piggyback on what Mike was saying, it's important that investors think of this first human study, not as a binary event like a pharmaceutical trial. It works or it doesn't work. As I think Mike articulated on his earlier comments, we're looking to learn a lot about workflow, clinical placement, the quantitative abilities, several things. And this is really the first study comparing our technology versus the gold standard MRI. But we do look naturally to have several other studies going forward in Europe and the U.S. to both enlarge that data set of volunteers as well as continue to learn and compare it frankly to other potential entrants and products that we believe are inferior, that I won't name on today's call but that are routinely used because there's nothing else out there. And so I think it will be important for us to build our data and demonstrate the superiority of our TAEUS technology. So it's really, it's going to be a process over time. We're going to continue to build out as we commercialize next year. Kyle, with early adopters sites, further clinical publications and use. And we look forward to building a very rigorous base of data for humans. So, we're excited about Canada, but there's a lot more to come.
Kyle Bauser: Yeah. Now that makes sense. Kind of get this data done that will help support clearance and commercialization and then generate additional clinical awareness to kind of get those early adopters, late majority onboard later on. So that makes sense. And then just final question, if I may, you've been doing a lot of awareness in showcasing TAEUS and you were recently in Geneva. Can you talk just about the feedback you're hearing both on an NAFLD but also just on potential further applications beyond this initial opportunity in anything, clinicians are saying about that.
Francois Michelon: I think I'll just reaffirm a couple of the comments that I made in my opening comments and then I'll turn it over to Mike as well. But these meetings for us starting at EASL in Paris in the spring September, the NAFLD conference, which was really focused on fatty liver with hematologists and subsequent conversations we've had just continue to confirm the need to identify and quantify fat in the liver, at the earlier stages. Why? Because it becomes toxic. It leads to that NASH, it leads to fibrosis and cirrhosis. And so if we're able to quantify cheaply, easily, safely with an ultrasound tool such as ENDRA's, it allows hepatologists and radiologists to intervene early, potentially reverse it and certainly monitor the efficacy of therapies that they're applying and that are coming online as we've discussed from the pharmaceutical world. So the appetite for NAFLD is there. There's a lot of interest naturally in NASH, I think NASH is a bit of a, I would say, an easier target because it's fatty-liver with inflammatory markers. And so there's a lot of work there, but we think that that entry point at the earlier stage of liver disease NAFLD is the sweet spot, that, that we're targeting for all the reasons I mentioned. And we think we're unique in that capacity. Mike, what feedback and what other research did you hear about it at the conference in Geneva that you like to share?
Michael Thornton: Yeah, I think, first of all, it's a great question, Kyle. In fact just socializing the idea that we're going to be quantifying fat and liver has brought up discussion about other tissue types and other organs where fat accumulation indicates the progress of a disease or onset or grade. So, we're still learning a bit about some of these other diseases. They're not specifically in the liver space, but, a couple of these applications are potentially a commensurate in terms of the analysis techniques that we're applying to liver. They would be very similar for analyzing fat in these other tissue types. Lot of the feedback that we received was that there was a real need that providing a patient with a number and the fact that, lifestyle and diet greatly affect and can reverse fatty liver disease. This is a key point that fatty liver disease is a reversible condition. So, providing a patient with a number gives them something to work towards. It's very hard in just grading it with ultrasound saying, well, you have some significant accumulation of fat because we detect it, but then when they come back you can't tell them whether what they're doing is working or not. So that's where physicians are really excited and that you can affect patient behavior and ultimately outcomes. And that's what excites us.
Francois Michelon: One more point that I think is interesting from a commercial perspective. We're targeting two primary clinical segments, radiologists and hepatologists, and it's become clear, although it's pretty intuitive once I say it, but it's become clear that radiologists are really comfortable using ultrasound, but they don't know that much about the liver per se because you can't do that much in terms of diagnosis or treatment of liver disease with the ultrasound. So we're going to have to educate radiologists on the new abilities that they're going to have with our technology regarding the liver. Hepatologists are coming at it from the other end of the spectrum, they are liver specialists, but because you for the same reason I just mentioned you can't – because you can't do a lot on the liver with ultrasound today they're not big users of ultrasounds. So we're going to have to train them more not on liver disease but on the use of ultrasound and so from a commercial messaging and go to market perspective, it's really helpful to segment the market and understand what we have to appeal to for each of those segments. I hope that's helpful also.
Kyle Bauser: Yeah, that's very helpful. Thank you and thanks for the updates.
Francois Michelon: Thank you, Kyle. Operator, do we have another question.
Operator: Thank you. Our next question comes from the line of Michael Brcic with National Securities. Please proceed.
Francois Michelon: Hey Michael.
Michael Brcic: Just another company that I follow in NASH is Galectin Therapeutics and they’re talking about this thing called MBT, methacetin breath test on their ability to predict their sensation in compensated NASH cirrhosis. Is that something that's sort of the down the line from you or is that something that possibly could be.
Francois Michelon: So let me. Yeah, let me jump in and I'm going to turn it over to the brains of the outfit. Mike Thornton, but I've certainly seen some breath tests and they involve ingesting a pharmaceutical compound and then monitoring the exhalation and the metabolizing of that compound. I've only seen activity in the NASH area of liver disease, which would be downstream and more advanced than NAFLD. I think part of the reason, and I'll ask Mike again to confirm this, but those inflammatory markers of NASH, I believe, provide a bigger opportunity for identification of certain things, be it through a blood test or an exhalation product. Michael, what do you know about that?
Michael Thornton: Yeah. And thanks for the question. So like you, I've read a bit about it and not specifically related to Galectin but a by company that's developing the technology. It's interesting science, I think it's kind of complicated because it requires a diagnostic to be ingested and metabolized and then, as I understand the mass spectrometer to analyze the exhalation product. So, it's pretty complicated in its regulatory path. Is going to be a quite complicated, but we're going to stay on in parallel with the technology to see where it goes.
Francois Michelon: Yeah. So Mike, Michael, I think in summary, I think there are lots of things in the pipeline, but that particular technology along with blood tests to our knowledge are primarily focused on NASH, which I believe reinforces our position here. We'll never say never in NAFLD, but to our knowledge there aren't any fatty liver, blood tests or exhalation products. And so, I think we're well positioned to continue to progress on this path. And I also mentioned to everyone that this is really our first application. So, the liver is a big market. We think there's a big unmet need, but I want investors to continue to think a little bit around the corner for ENDRA. And beyond the liver we believe there are additional entirely new businesses, as I mentioned, with tissue temperature change, monitoring for guidance of surgery and other applications that we point to in our investor deck. So thank you Michael for that leading question.
Michael Burdick: Correct? I think I've asked this before, but there's no reason for this not to apply to ASH as well, right?
Francois Michelon: So NASH is inflammation of the liver from fat. So technically, you still have that fat in your liver, but now the more concerning condition is the inflammation, but technically you're right, we could contribute to that in terms of measuring how much fat is in the lever of a NASH patient, I think it's just compounded by the inflammation. Mike, any, any additional thoughts on the NASH usage?
Michael Thornton: Absolutely the Pharma’s that we've spoken to, they are absolutely interested in monitoring the fat along with the inflammation markers because an efficacy of a drug should show reversal in both indexes inflammation markers and fat content.
Michael Burdick: Thanks, Michael
Francois Michelon: And Michael. As always, appreciate your call and really appreciate everyone's interest and excellent questions. Operator, if you don't have any more caller's, perhaps we can close the call.
Operator: Thank you. We have no further questions in queue at this time allow me to hand the floor back over to Francois Michelon for closing remarks.